Operator: Good afternoon, this is the conference operator. Welcome and thank you for joining the GTT, First Quarter 2025 Activity Update Conference Call. I'd like to remind that all participants are in a listen-only mode. After the presentation, there will be an opportunity to ask questions. [Operator Instructions]. At this time, I would like to turn the conference over to Mr. Philippe Berterottiere, Chairman and CEO of GTT. Please, go ahead, sir.
Philippe Berterottiere: Thank you very much. Good evening, everybody. I'm very pleased to be with you this evening. I'm joined this evening by Thierry Hochoa, CFO of the GTT Group, and Jean-Baptiste Garnier, Head of Investor Relations. Let's begin with a few key highlights. Q1 2025 marked a solid start to the year with a revenue of €191 million, up 32% compared to Q1 2024. In the first three months, we received 16 new orders for our core business and 12 new orders for LNG as fuel. For the global market environment, this quarter has been sort of a mixed bag. On the one hand, there were positive regulatory developments for the industry with the end of the moratorium and the removal of the construction deadline in the U.S. On the other hand, the current tariff dispute has added complexity to the environment. On the innovation front, we improved our position among French companies in the latest INPI ranking. In April, our Venture Capital, France, announced an investment in novoMOF, a specialist in advanced materials for compact and efficient CO2 capture designs, particularly relevant for maritime transport. These materials will help reduce emissions in the shipping industry. In digital, Ascenz Marorka opened a new fleet center in Vancouver to cover the Americas time zone. And in March, it announced the deployment of its Smart Shipping solution across the entire TMS Group’s fleet. Lastly, regarding Elogen, we are in the process of repositioning the business model of the company and discussions with employees and representatives are ongoing. Let's now have a closer look at our order book. As of end of March, we had 325 units in our core business order book. Orders were diversified this quarter, including 9 LNG carriers and 7 ethane carriers. For LNG as fuel, the order book stands at 55 units, including the 12-unit order for a European shipowner announced in February. This solid backlog provides strong visibility for future activities. As you know, LNG demand growth remains a key structural driver. Expectations from major players, such as BP or Shell, support a positive outlook for energy demand with an anticipated 7.5% to the end of the decade -- Sorry, 5.7%, not 7.5%. What's new? In its 2025 outlook, Shell revised its forecast upwards by approximately 25 million tonnes per annum for the 2030-2040 period, compared to its 2024 scenario. The gap between the projected supply and demand by 2040 is now estimated at 165 million to 210 million tonnes per annum. That should trigger new liquefaction projects. This bodes well for future ship orders, including replacements for aging vessels. Several projects could be sanctioned in 25' 26'. After a relatively quiet 2024 in terms of FIDs. Since February, no additional projects have been sanctioned, but several are progressing well and have moved in the most likely FID category. For instance, the Rio Grande Train 4, for next decade, adding now around 80% contracted following Qatar Energy's recent announcements. The CP2 Phase 1 project for Venture Global has launched its FID process. While regulatory developments in the U.S. are encouraging ongoing geopolitical uncertainty, the third dispute may impact the timing of these decisions. I now over to Thierry for a closer look at our Q1 revenues.
Thierry Hochoa: Thank you, Philippe. Good evening, everyone. Let's look into more details at revenue by activity at the end of Q1 2025. Total revenues at €191 million are up 32% compared to Q1 2024, and driven by new bills standing at €181 million, meaning plus 36%, and benefiting from a higher number of LNG carriers under construction in Q1 2025. Driven by electrolyzers' revenues through our Elogen Affiliate, which are down at minus 63% and stand at €1.1 million as Elogen continues its transition and repositioning and following 2024 with very few orders. Regarding digital activities through our Ascenz Marorka Affiliate, which increased its revenues by 88% at €4.7 million, reflecting strong momentum and benefiting also from the integration of VPS. Finally, revenues from services decreased by 31% at €42 million due to a lower level of pre-engineering studies in Q1 2025 compared to Q1 2024, which are non-recurring by nature. All in all, this is a solid start to the year for GTT. And now, the floor, back to Philippe for the outlook.
Philippe Berterottiere: Thank you, Thierry. Looking ahead to 2025, we confirm our targets with consolidated revenues expected to range between €750 million to €800 million. EBITDA should be between €490 million and €540 million. Lastly, we maintain our dividend policy with a payout of at least 80% of consolidated net income. That concludes today's presentation. We are now available to answer your questions. Can we start the Q&A session, please?
Operator: This is the conference operator. We will now begin the question and answer session. [Operator Instructions] The first question is from Kevin Roger from Kepler Cheuvreux. Please go ahead.
Kevin Roger : Yes, thanks. Good evening. Thanks for taking the time. I have two questions, if I may. The first one is maybe on the digital stuff, with the top line declining and the explanation saying that there is a drop-off in pre-project studies. Can you explain this a bit? Is it a leading factor, a leading indicator for future orders, or is it completely different? When you say pre-project studies, it has nothing to do with potential orders or whatever. Just to be sure it means the drop-off in pre-project studies, if it's a kind of leading indicator for future orders. The second one is related to the ethane carrier. The dynamic has been quite impressive year to date, and well above, in a sense, what is implied by your mid-term market view for the next 10 years. If you can comment a bit here on the market dynamics and maybe if there is any cautiousness or whatever in your mid-term target, please.
Philippe Berterottiere: Thank you, Kevin. I will take the first one, Philippe, regarding services. We have always mentioned that the pre-engineering studies are non-recurring by nature. That's why it's difficult to have a forecast on it. Last year, we obtained significant pre-engineering studies from the U.S., mainly, and due to the context that you know now, it was more difficult to capture more services for our businesses. That's why we cannot deliver any guidelines or guidance for this services business, but we are working on it to maintain a good momentum because we have maintenance, training activities as well, and we expect to develop this part of the activity, even if the pre-engineering studies are non-recurring by nature.
Thierry Hochoa: So, on the second point, on the ethane dynamics, it's a market which is quite different from the energy business. It's really for the chemical industry, and it's mainly between the U.S. Ethane is coming with methane in the U.S., and it's largely exported to Asia, China, India also, and very soon to Thailand. In our opinion, there is going to be a limit to that. It's why we are cautious in our long-term expectations in terms of needs of ships for transporting ethane to other places in the world. So, we maintain that. We are seeing the dynamism of this market for this year, for the beginning of this year and last year, but we gave some 10-year forecasts two months ago. We are not going to revise that, even though we are very satisfied by all these orders.
Kevin Roger: Okay, I understood. Thanks.
Operator: The next question is from Jean-Francois Granjon from ODDO. Please, go ahead.
Jean-Francois Granjon : Yes, good evening. Two questions from my side. The first one concerns the recent decision from the IMO, the International Maritime Organization, regarding the LNG as a fuel. This is some positive news, in fact. So, could you comment on that and the impact for your business, for GTT business, for LNG as a fuel? The second question concerns the relations between the U.S. and China and the risk to see some taxes or port fees for each vessel built in China. So, can you comment on that and the risk for GTT? Thank you.
Philippe Berterottiere: Okay. Well, on the first question, I would say that, first of all, what you call the decision from IMO is not yet a definitive decision. It has to be voted in next October. So, let's say, it passed a very important milestone at the IMO level, but it's not yet a definitive decision. But, well, we consider that it's going to be a positive for LNG, LNG as a fuel, in particular. But, you know, what is good for LNG as a fuel is good for LNG in general, and particularly because it means you need ships for transporting, you need energy carriers for transporting this energy to places where it's going to be delivered to LNG-fueled ships. So, we can assess that the impact is positive. More generally, regulations which are leading ships to generate less CO2 are very good in general, and also very good because they are in accordance with our strategy, which is to develop technologies helping ships to reduce their emissions. On your second question, relations between U.S. and China, I think that it's something which is ongoing. There are trade between, energy trade between the U.S. and China, but finally, they are not so important. When you look at the LNG imported by China, I think 5% is coming from the U.S. So, it's quite limited. But still, I was talking about ethane, ethane exported from the U.S. to China. Well, that is not particularly positive. I do hope that in the next weeks, these two countries will come to terms on the way of exchanging goods between them. We can see that China is needing energy, is needing feedstock. They are also needing agricultural products that the U.S. can export, and we see that the U.S. are needing plenty of manufactured in China. So, I do hope that, and that finally, the consequences will be limited in 2025.
Jean-Francois Granjon: Okay. Thank you, Philippe
Operator: [Operator Instructions] The next question is from Daniel Thomson from BNP Paribas Exane. Please go ahead.
Daniel Thomson : Hi, good evening. Thanks for taking my question. So, firstly, I was wondering on the digital business. You announced it would look to be quite a significant order with TMS for the entire fleet. Could you help us in terms of how we should think about the revenue opportunity of that order, maybe relative to the existing subscriptions on vessels you have at the moment? I mean, is there a very large range in the subscription price per vessel? Anything you can sort of point us towards there? Then, on the M&A front in digital, I was wondering, where are you seeing valuations and bid-offer spreads in the sub-segment? I know M&A is a part of your strategy to grow this business. Thank you.
Philippe Berterottiere: Regarding these digital activities and the contract that we obtained from TMS, it's a good thing for us for two main reasons. The first reason is because it's massive, 130 vessels. And the second element, it constitutes 100% of recurring revenues. It means that in the future, we have secured this revenue for the future. That's a good news for us and for our digital activities for the future. Regarding the second part of your question, M&A opportunities, definitely if we discuss about digital, we expect to develop this activity with two ways. The first way is definitely organic increase based on the VPS acquisition that we performed last year and based on our solution, robust solution for the digital activities. And the second element is M&A. Definitely, if we would like to have a key leader position in the future and to speed up the process of increasing revenues and to be very profitable, we need to perform an acquisition in the future. We are working on it.
Daniel Thomson: Okay, thank you. And just following up on that, would you be looking at a single target or does the ambition you have require you to pursue multiple smaller acquisitions?
Philippe Berterottiere: Both. You know that the market is very, very fragmented. And if it makes sense for us to have a small acquisition because we would like to acquire experiences or a robust solution for our client, definitely we will do it even if it's a small company. But if we can have a medium-sized company, definitely we will move in that way because it means that we can have more revenues and additional EBITDA for our business. But both solutions are fine for us. It was the case with VPS, it was a small acquisition and it's a very profitable company today.
Operator: The next question is from Richard Dawson from Berenberg. Please go ahead.
Richard Dawson : Hi, good evening and thank you for taking my question. My first question is on order outlook and maybe if you could just talk a bit about the order outlook from here for LNG carriers this year. I appreciate we might see some delays with the sanctioning of the U.S. project, but it was also suggested at FY '24 results that there's between 50 to 75 vessels that still need to be ordered for those LNG projects that are already under construction. So are we seeing any slowdown to those potential orders, just given the uncertainty we're seeing more broadly? And then secondly, are there any updates to the search for a permanent CEO? Thank you.
Philippe Berterottiere: Well, Richard, we did not understand perfectly your question, but I think I guess I understand what your question is. We still assess that there is a need for tens of ships, even though in the first quarter of this year, there were some orders, including six very large ships and no FIDs yet, but there are still a need of let's say between 40 and 65 maybe ships for the projects under construction. Some of these projects are delayed and that's why there are ships which have been delivered on time, which are quite idle for the time being, and giving the feeling to some people that the market is a little bit long. We expect that those who are needing ships for these projects, these delayed projects, and according to what we know, these projects are going to be ready sometime in 2028, maybe beginning of 2029. They are going to look at ships quite soon. It's also the return we are discussing with the projects, these energy projects and the ship owners who are discussing about these ships with us and with the shipyards. We have this feeling. Of course, there is a kind of factor in this market due to the delays, but that is taken into account by the ship owners. Did I answer to your question, Richard?
Richard Dawson: Yes, thank you very much. Then just the second question on the search for a CEO.
Operator: The last question is from Jean-Luc Romain from CIC Market Solutions. Please, go ahead.
Jean-Luc Romain: Good evening. To extend on Daniels question about the contract with TMS, how can we approach this kind of announcement in order to try to make an estimate of the turnover it could generate over the years?
Philippe Berterottiere: Well, there are many ways of answering to your question, Jean-Luc. First of all, we can say that finally designing a tank or developing a smart shipping solution is a bit the same. We are developing very efficient solutions and the development of our digital activities is helping very much our core business. We can say also that we discovered that beyond our core business, where we developed several smart shipping solutions, we applied all that potential to normal ocean-going vessels. Here, it's very much a matter of size. We have hundreds. We passed the 1,000 landmarks. We are close to the 2,000 landmarks milestone. It's very much a matter of the number of ships. Once you convince a very large number of ships, it can be something very, very profitable. We are working on that. We are improving our solution to be even more convincing. We are very much encouraged by the TMS decision. We have tried our solutions and they've been convinced. They come after several other owners. Of course, we would like to go faster, but in this industry, you've got to take time to convince ship owners about the adequacy of your solutions. We work on that. We know that we provide very good solutions, excellent solutions. We are going to continue to convince customers and to enlarge our portfolio of solutions.
Operator: I will turn it back to you for closing remarks.
Jean-Baptiste Garnier: I think we have a question coming from the web.
Philippe Berterottiere: The last one. The CEO process, the CEO search is ongoing. It has been launched. As soon as we have information on that, we are going to inform you. We are actively -- the Board is actively working on that. I do expect to be in a situation to tell you more in the not too distant future. I would like to thank you very much for the time you've spent with us. I hope to talk to you very soon. Thank you.
Operator: Ladies and gentlemen, thank you for joining the conference. Now over, you may disconnect your telephone.